Operator: Good morning, and welcome to the Inspired Entertainment Third Quarter 2025 Conference Call. [Operator Instructions] Please note that today's event is being recorded. Before we begin, please refer to the company's forward-looking statements that appear in the third quarter 2025 earnings press release and in accompanying slide presentation, both of which are available in the Investors section of the company's website at www.inseinc.com. These also apply to today's conference call. Management will be making forward-looking statements within the meaning of United States securities laws. These statements are based on management's current expectations and beliefs and are subject to various risks, uncertainties and other factors that may cause actual results to differ materially from those exposed or implied in such statements. For a discussion of these risks and uncertainties, please refer to the company's filings with the Securities and Exchange Commission. The company assumes no obligation to update or review any forward-looking statements, except as required by law. During today's call, the company will discuss both GAAP and non-GAAP financial measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures can be found in today's earnings release and slide presentation, which are both available on the website. As a reminder, the slide presentation will be advanced by the operator to accompany management's remarks. A PDF version of the slides will be available following the call in the Investors section of the company's website. With that, I would now like to turn the call over to Lorne Weil, the company's Executive Chairman. Mr. Weil, please go ahead.
A. Weil: Thank you, operator. Good morning, everyone, and thank you for joining our third quarter conference call. As we reported earlier this morning, third quarter and trailing 12-month adjusted EBITDA were $32.3 million and $110 million, respectively, both well ahead of consensus and last year, and a result that we're pleased with. In a departure from [ press ] protocols, we have prepared a brief slide deck today summarized here on Slide 4, which will be presented by President and CEO, Brooks Pierce, and myself. There are a lot of moving parts right now, the sale of holiday parks, the restructuring of pubs, the continued phenomenal growth of interactive as examples that paint a very exciting picture, and we feel that this kind of comprehensive discussion will help us put everything in proper perspective. Then at the conclusion, we will discuss earnings, balance sheet and cash flow projections for '26 and '27. To begin, I'll hand it over to Brooks, who will discuss in some detail, current results and operations.
Brooks Pierce: Okay. Thanks, Lorne. Before I dive into the business update, I want to briefly address the upcoming U.K. budget announcement on November 26 and the discussion around potential tax changes in the gaming industry. There's been a lot of coverage and discussion on all sides of the issue and its impact on the industry, but frankly, this isn't new. We've managed through -- we managed through the 2019 triennial, which cut maximum stakes in betting shops from effectively GBP 50 to GBP 2, a major change that we successfully navigated through product innovation and operational discipline. Today, performance in that business is well above pre-triennial levels. Potential shop closures have been in the headlines as well, and our experience tells us that this is also manageable. Typically, lower-performing shops are most at risk, and much of that play finds its way to nearby shops, effectively lowering our servicing costs. The potential increase in remote gaming duty would be another facet we have experienced dealing with. We've managed similar changes in other markets, and our performance in the Interactive segment speaks to our ability to adapt effectively. Once the U.K. budget is announced, we'll share more specifics. But in the meantime, we're planning proactively and are confident in our ability to manage changes effectively, just as we have in the past. And we have a number of levers and opportunities at our disposal to navigate our way through this. Okay. Moving to the next slide. We're pleased with the performance of the business in the third quarter, and are carrying that momentum into the fourth quarter. We're confident we'll exceed Q4 2024 performance and current guidance, assuming current FX rates don't change materially. The Interactive and Gaming segments were particularly strong, with Interactive achieving more than 40% year-over-year adjusted EBITDA growth for the ninth consecutive quarter. October is now complete, and is the single largest revenue month for this segment in our history, and last week was the biggest week we've ever had. This was all highlighted by the success of some of our seasonal games, but frankly, we're seeing strong performance throughout the portfolio and market share gains across our key geographies in both the U.K. and North America. We're also pleased to see a second consecutive quarter of stabilization in the Virtual Sports segment, and are confident that it will grow year-over-year in the fourth quarter. The close of the sale of the holiday parks business on November 7 is a milestone in our shift to higher adjusted EBITDA margins, lower CapEx and close to 40% lower head count going forward. Taking the proceeds from the holiday park sale to improve our net leverage puts us in a stronger financial position as we move through the fourth quarter and into 2026. In addition, we announced today that our Board has reauthorized a $25 million share buyback plan as part of our plans going forward. The next slide demonstrates the success of our strategy in making North America a bigger part of our business, in large part due to the growth we're seeing in this market from our Interactive business, but we're also gaining momentum in our North American VLT business that I'll cover in more detail later in the presentation. The success of the Vantage cabinet in the William Hill estate is coming through in our results and was highlighted recently by evoke in their trading update. We're also starting to see the impact on performance of the refreshed terminals in the Greek estate. Although the year-over-year performance in the Virtual segment continues to be impacted by the taxation that started in January in Brazil, our comps in the fourth quarter and 2026 will be easier, and we've also introduced a number of initiatives and increased our customer counts in Brazil and Turkey, and we're starting to see some of that improvement come through the numbers. As you can see on Slide 8, we've been generating solid year-over-year adjusted EBITDA growth every quarter, and the trailing 12 months adjusted EBITDA is now at $110 million. It is certainly a positive, but the most important aspect of this slide is the impact we expect to see going forward with the sale of the holiday parks business and the move in our pubs business to a machine and content-led strategy. Both the Interactive and Virtual segments are operating at higher than 60% EBITDA margins after corporate allocations, and we expect the operating leverage of both of these segments to strengthen further as revenue increases. Combination of margin expansion, the sale of the holiday parks business and the change in the pubs business model will significantly reduce our capital intensity and have a very positive impact on cash flow. The next couple of slides highlight not only the strong performance of the Interactive segment, but frankly, the significant opportunity we see ahead as additional iGaming states potentially come online, the potential we believe could be transformational for our business. Our content is resonating broadly across all the key geographies, and we're positioning the business to scale across even more. Looking ahead to next year, we plan to increase game deliveries through added capacity and a new interactive studio. The most common feedback we get from customers is they want more of our great content, and we're excited to deliver on that challenge. As we've talked about in the past, we're very bullish on the opportunity for an increase in the number of iGaming states. It's clear that iGaming is a much larger opportunity than online sports betting, as you can see in the GGR from just 3 of the existing iGaming states. The delivery of additional states is very seamless, and frankly, should produce significant operating leverage as the only real cost to add states is in bandwidth. We don't have a crystal ball, of course, but we're confident that states will see the opportunity and feel it's a matter of when not if. Now moving over to Hybrid Dealer. We've been talking about Hybrid Dealer for some time, and we felt validated to have won the award at G2E for innovative product of the year. More importantly, we're starting to see the network effect of rolling this product out across our customer base. We have a very good mix of both Tier 1 and Tier 2 customers and have seen success with both. Our William Hill-branded roulette game in the U.K. is producing amazing results, which we view as a proof point for other operators. The next phase of development will emphasize and highlight our proprietary player-favorite content, such as our Wolf It Up! and Piggy Bank family of games. We see this as the natural evolution of our product strategy, supported by an increasing pace of game delivery to meet the strong market demand. While Hybrid Dealer is not expected to be as large as the broader interactive market, we believe it will be a valuable complement to our portfolio, enhance our offering, add diversity to our content and contribute meaningfully in 2026 and beyond. Moving over to Gaming. Our Gaming business continues to perform well across our 3 key markets of the U.K., Greece and North America. In the U.K., we're gaining share in the betting shop business with the addition of 2 key customers. In Greece, our new cabinets are strengthening our leading position. And with nearly half of our machines still to be upgraded, we see continued opportunity for growth. In North America, performance in Illinois and key Canadian provinces is at its highest level since we introduced these products into mature markets, which frankly, is never easy. Notably, 98% of our Illinois customers ordered our game pack subscriptions this year, validating our philosophy that server-based gaming is a powerful tool for operators to keep their players engaged, and we see applicability for that in many more markets around the world. And now I'll pass it over to Lorne.
A. Weil: Thanks, Brooks. A lot of interesting concepts and data to digest. I'll begin with Slide 14, giving a snapshot of where we are at the end of the third quarter. I apologize if some of this material was repetitious for those who have been following us for a while, but will help level set for anyone new to the story. So we're starting with trailing 12-month revenue, adjusted EBITDA and EBITDA margin of $310 million, $110 million and 35%, respectively. The digital retail mix is just under 50-50 and net leverage ratio of 3.2x. As we move through the rest of the material, I'll try to explain why we're confident in projecting significant expansion in margins, reductions in leverage and strong free cash flow. Slide 15 summarizes the underlying dynamics that have been underway for some time. Earlier, Brooks talked about the high margin relatively low CapEx and scalability of our digital business. It's the swing of the mix of our business in that direction that's a primary driver of financial performance. In parallel, the divestiture of the holiday park business provides an immediate boost to margins. And the operational reengineering going on throughout the company allows us to make up for the divested holiday parks EBITDA. In a moment, I'll quantify with some specificity on the exact impact of each of these 3 elements. Slide 16 summarizes the 3 things that, of course, everybody wants: revenue growth, expanding margins and growing free cash flow. Although generally, in my experience, you only get to pick 2. And as the slide implies, in our case, the 3 are highly interdependent. Our revenue growth is driven by the compounding of market share gains within growing markets, with content development and greater allocation of resources to marketing, having recently been the principal underlying drivers. Revenue growth, revenue mix and scalability together drive expanding margins, and the latter combined with declining CapEx drives free cash flow, if only it were that easy in execution. Slide 17 decomposes our projection of a 1,000 basis point increase in adjusted EBITDA margin between now and 2027, with the increase being almost equally split between the increased digital mix, the sale of holiday parks and the operational reengineering that we have undergoing. Regarding the latter, we expect most of the benefits to begin to take effect in the first quarter of 2026. Which finally brings us to Slide 18, where we bring this all together. To summarize, we're projecting the digital mix after corporate allocation to reach 60% by 2027; headcount to decline by nearly 40%; adjusted EBITDA margin to grow by 10 percentage points, from 35% to 45%; free cash flow conversion to reach 30% of EBITDA; and net leverage to decline to 2. A few minutes ago, Brooks discussed the expectation of increased U.K. gaming taxes in the November U.K. budget. It's for this reason that for now, we've expressed absolute adjusted EBITDA guidance in terms of high single-digit growth, which will then translate to more specific guidance once the tax proposal is known. As Brooks mentioned earlier, we've been through this drill before, and we're confident we can do much to mitigate any impact. And I should mention that certain important upsides, new iGaming states, for example, would be significant additional mitigating factors as they [ do not ] factor at all into our analysis. Finally, this entire discussion is focused on organic growth and does not reflect any expectation of M&A impact, which we continue to look at very carefully. And with that, we can open to Q&A. Operator, we can have Q&A now, please.
Operator: [Operator Instructions] And your first question comes from the line of Ryan Sigdahl of Craig-Hallum.
Ryan Sigdahl: Appreciate kind of the targets and laying out the path over the next several years what this company looks like. Still kind of digesting that in real time, but very back of the envelope math, maybe staring at Slide 18 here. If we assume EBITDA grows at a high single-digit CAGR, EBITDA margin expands by 10 points over the next 2 to 3 years. I guess that implies revenue is kind of flattish, maybe even down? I guess, walk through what's going on there, and maybe part of that is the starting point of holiday parks included or not?
Brooks Pierce: Yes. I think the -- well, the principal reason for that is obviously the holiday parks business going away. So that's the single biggest driver of the revenue that you kind of modeled out. But I wouldn't say we obviously are confident that the rest of the business segments are going to continue to grow at varying degrees. Obviously, the Interactive business continues to race ahead, but the Gaming business and the Virtuals business, both we expect to grow.
Ryan Sigdahl: Helpful. Yes, I think it's just a comparison of kind of the starting baseline there. Virtual Sports, I think I heard expect year-over-year growth in Q4. I guess, what gives you that confidence in the acceleration because it was up [ 1 ] decimal point sequentially, and so it appears like it's stabilizing. But what gives you the confidence to see a reaccelerating growth, at least sequentially, which will get you back to year-over-year growth by Q4?
Brooks Pierce: Yes. A couple of different things. We've made some adjustments with our biggest customer that we're starting to see the benefits coming through already. We've added additional customers in Brazil. I think we added 6 in the quarter, which you wouldn't have seen full impact up, and we'll get that in the fourth quarter. And we've also seen some nice growth out of some of the business that we're doing in Turkey, and we're adding another stream of content in the Turkish market. So a combination of kind of all of those things gives us confidence that we're going to grow. I think the fourth quarter number EBITDA is [ 7.2 ] from last year. So it's not an insignificant amount we need to grow, but that's what our target is.
Ryan Sigdahl: If I may, a quick follow-up just on that, any commentary or added detail on what those adjustments with your largest customer were? And then I'll hop back in the queue.
Brooks Pierce: Thanks. No, I think we'll probably keep that to our -- between us and our customer, if you don't mind.
Operator: Your next question comes from the line of Barry Jonas of Truist Securities.
Barry Jonas: Lorne, can you expand a little on your M&A commentary in the prepared remarks? Just curious what the pipeline looks like and the types of companies deals you'd be most interested in?
A. Weil: Sure. Well, I think to begin -- from a financial point of view, we're only interested in deals where they're going to -- there are significant touch points with the company and our operations now so that we can anticipate meaningful immediate synergies and a deal that makes significant financial sense. We're not going to do anything that's highly in a diversification mode or pay crazy prices that we can't mitigate by having a lot of operational synergies. So that's sort of -- that's the overarching concern. In terms of kinds of companies, we're interested -- we would be interested either in what people nowadays call tuck-in acquisitions that strengthens one of our existing businesses. The most likely would be an interactive studio or an interactive business that had products that we don't have or was addressing markets that we don't address that we could easily fold in. Same thing would be possible in our equipment business. I think it's unlikely that we would do something very big in an M&A sense right now because the business is running beautifully. There's plenty of opportunity to, as I said, to do tuck-in acquisitions, and that's kind of what we're doing, Barry.
Barry Jonas: Got it. And then I noticed there was a release about your premium iGaming entrance into West Virginia recently. Just curious if you could talk more about that? And then any other notable jurisdictions you'll be soon to enter, hopefully?
Brooks Pierce: Yes. So we've started with DraftKings and Rush Street, I think, are the 2 first customers in West Virginia. For a while, we're kind of waiting to see how some of these markets develop. Delaware as well, which was originally pretty small, but Rush Street's made that into a pretty amazing market. And same thing in West Virginia. So a number of our operator customers were pressing us to get the content in all their markets. So clearly, so West Virginia is rolling out, we'll start seeing the impact of that here in the fourth quarter. I think the rest is what we talked a little bit about is new states. I think the only state we're not in now is Rhode Island, which is kind of a unique environment. So certainly, if any states were to be added, that's a huge bonus for us. In terms of the international markets, I think we have almost 500 customers now. And we're pretty much in every market you can think about. I would say that probably the biggest market that we're not participating in a meaningful way that we hope to is probably South Africa. But Brazil is growing and some of the other Latin American markets are growing. So we kind of have no lack of geographical opportunities for us.
Chad Beynon: Great. Congrats on the quarter and appreciate the new targets.
Operator: Your next question comes from the line of Jordan Bender, Citizens.
Jordan Bender: Maybe just follow up on the M&A comments. First, you mentioned you're going to open a new interactive studio. Are you buying this or is this an organic initiative? And then maybe more broadly, kind of related to the M&A part of this, have you seen multiples for studios come down at all? I know those have been quite elevated in years past. It seems like that's kind of a natural fit for the trajectory of your business at this point?
Brooks Pierce: Sure. Maybe I'll answer the first part and a little bit of the second part, and then Lorne can expand. So the studio is going to be -- we're building it ourselves. We've hired the guy who run the studio. He's got a noncompete. So he'll get started after the first of the year, and we'll build it out. And it will be a lot of the content that we are kind of known for, but we also will give him some runway to try some newer types of content that maybe will help broaden our portfolio. In terms of M&A, we've looked at lots and lots and lots of studios. And probably the single biggest issue for us is there's lots of markets where some of these studios get revenue that we won't go into, and that's probably the single biggest gating factor as to why we haven't done an acquisition in that space before, but we continue to look at it. And as the content pipeline gets bigger and bigger, there's more and more of these companies that are popping up. So we're constantly looking at that. And maybe, Lorne?
A. Weil: Yes. No, I don't have anything to add to that. I think that's right.
Jordan Bender: Perfect. And just following up, on the share buyback, it's been a couple of years since you've bought back stock. Can you just maybe remind us of your philosophy, is this going to be kind of a programmatic buyback opportunistic? Just anything to help us there.
A. Weil: Yes. I mean I think -- well, just to address the point about not having done a buyback for the last couple of years, that largely was occasioned by the accounting issue that we, fortunately now has completely behind us. But while it was going on, we weren't able to buy back stock. So now we're in a situation where that's all behind us. We're generating plenty of cash. We -- our cash position itself is strong. And so we're obviously in a position to do it. And we think right now, our stock is at a level where, regardless of what anybody's philosophy is about the subject of share buybacks in the context of capital allocation, it's -- our view is it's obviously very attractive. I don't think it's going to be programmatic, though. I think it's still going to be opportunistic because we're constantly balancing the goal to bring our leverage ratio down to the level that we talked about in these projections, and I think that's a priority. And we don't know whether and when a meaningful M&A opportunity will come across or will come along and then we need to act on that. So I don't think we want to be programmatic about share buybacks because again, we're balancing all of these factors. But we're certainly going to be more aggressive than we've been in the last couple of years. That's for sure.
Operator: And your next question comes from the line of Chad Beynon of Macquarie.
Chad Beynon: I wanted to revisit, Brooks, your comment about interactive October being the largest in history and obviously looking at the financials for Q3, the $11 million of EBITDA. So maybe first question, are you adding new partners in your biggest market like the United Kingdom? Are you just gaining market share? And then the second part of that, do you think that certain partners are better cushioned against some regulatory changes? I know we'll hear more about that. But yes, I guess, just wanted to ask about Tier 1, 2, 3 partners versus just overall share in that market.
Brooks Pierce: Yes. Thanks, Chad. Yes, I mean it's kind of exactly what you would want. It's pretty broad-based. It's across our 3 biggest markets, North America, U.K. and Greece, but some of the other smaller markets are growing as well. And principally, it's us gaining share. I think we are ranked #4, #5 in the most recent Eilers report in North America. I think we've made a pretty focused shift to having build games that resonate with the North American players, and that's turning out. And so all the big guys, whether it's DraftKings, FanDuel, BetMGM, Rush Street are all doing better and better. But it really goes all the way through Tier 2, Tier 3, lower markets. So it's pretty broad-based across the business. And like I said, the October numbers were great. You get the advantage of having Halloween. I mentioned that last week was the single biggest week we've ever had. We had the confluence of payday in the U.K., Halloween and the resetting of limits all happen in one week. So that kind of led to pretty phenomenal results. But we obviously, as we go into the fourth quarter, December is historically one of the biggest, if not the biggest months with all the Christmas games. And November is also a very good month. So the fourth quarter is shaping up nicely.
Chad Beynon: And then on the prediction markets. Obviously, you guys have extremely minimal exposure to, I guess, North American sports betting. We have seen a lot of the publicly traded equities trade off as a result of some competition there. Can you just talk about prediction markets, if that -- if you believe that affects any of your business segments here?
Brooks Pierce: No. We don't -- we certainly aren't seeing anything. Unfortunately, it's because we don't have -- the one that it might potentially impact would be Virtuals in North America. And as I've said on a number of the calls, we're frustrated by the pace at which we're getting Virtual Sports in North America. The content, the NBA content, the NFL content is resonating with markets outside of North America, but we're still struggling to get more and more operators in North America launch. So that's really the only part of the business that I would see impacted. We certainly aren't seeing any impact in the interactive space from prediction markets, taking players away. I think they're fairly -- even though the operators obviously try and cross-sell, I think they're fairly separate and distinct players.
Operator: Your next question comes from the line of Josh Nichols of B. Riley Securities.
Josh Nichols: Great to see the parks business approaching a sale here and the stock buyback. Sorry if it was already addressed, I joined the call a few minutes late. But I wanted to just talk about the Interactive business, phenomenal growth that you've been seeing there overall. I think it's on pace for something like close to like 50% growth this year. Do you expect that, that pace is likely to continue next year? And what are the key kind of drivers that you see that's going to be driving Interactive, whether that's like Brazil or [ expanding ] your partnerships with some players in the U.S. and things that are in the pipeline for that business?
Brooks Pierce: Yes. We sort of addressed it a little bit earlier, but I'm happy to go back through it. Yes, I mean, look, 9 quarters in a row of more than 40% EBITDA growth is -- eventually the math gets a little bit more challenging, but as I mentioned, the October numbers were great. We expect the fourth quarter to continue to build on that momentum. The biggest issue for us, which, again, I talked about a little bit, is what our customers are saying is, "Your games are great, your game mechanics are great. We just want more of them." And hence, that's why we're investing in the studio to increase the capacity so that we can get more games out to the market, which I think will hopefully help us sustain the growth levels. There's so much content out there now that you really do have to have the combination of the quality and the quantity, but our game design teams have come up with some really interesting mechanics. We mentioned in the presentation about this persistence game that we're doing called Player Link that's driving increased play. So we've got lots of levers that we're pulling, and we hope this streak continues.
Josh Nichols: And then last question for me, Virtual Sports, obviously, a smaller piece of the business today, but good to see how that business has stabilized over the last couple of quarters. You talked about trying to get up and running with some more operators in the U.S. What needs to be done to really get that business back into growth for 2026? And are there a couple of larger opportunities that you're kind of optimistic about when we look beyond just the fourth quarter but for next year really?
Brooks Pierce: Yes. I mean, so not to put any undue pressure on BetMGM, but they're likely to be the first big operator in North America. So they've gone live with us in Ontario and they're seeing phenomenal results over the last few months. And it's got some regulatory and resource challenges that we're working through with them, but we expect, hopefully, to go live with them yet this quarter. And I'm hoping that, that will be a catalyst for a number of other operators to see that virtual sports resonates and works in every other market around the world we've been in, and we think it will in North America. So unfortunately for us, we haven't been able to, frankly, because the operators have lots of priorities that they're working on for their iGaming, and their sports business and virtuals just kind of has slid down their priority list a little bit. But I still believe that it will resonate. I still believe we have licensed content with the NFL, NBA, and NHL that will resonate with the North American player base. And once -- like I said, it's doing phenomenally well in Ontario. I think once we get one of the big guys, hopefully BetMGM first, live in North America and they do well, I think that will hopefully be a catalyst for the other big operators to put some resources to this. Because it's not a challenge for us, it's really just a resource issue for the other guys.
Operator: And there are no questions. I will now turn the conference back over to Mr. Weil for the closing remarks.
A. Weil: Thank you, operator, and thanks, everyone, for joining the call today. I know -- is it Sportradar, just started 5 minutes ago. So we probably lost a few of our listeners, but just to reiterate where we are, we're feeling very ebullient about the business right now. The rest of this year looks solid, and we're pretty confident that as we move through '26 and '27, we can achieve the kind of performance parameters we talked about in the presentation. So thanks again for your support, and we look forward to talking to you in a few months. Thanks.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.